Operator: Ladies and gentlemen, thank you for standing by. My name is Desirey, and I will be your conference operator today. At this time, I would like to welcome everyone to the Lindblad Expeditions Holdings, Inc. Reports 2024 Second Quarter Financial Results. All lines have been placed on mute to prevent any back on noise. After speaker’s remarks, there will be a question-and-answer session. [Operator Instructions] I would now like to turn the conference over to Dyson Dryden, Chief Financial Officer. Please go ahead.
Dyson Dryden: Thank you, Desirey. Good morning, everyone, and thank you for joining us for Lindblad's 2024 second quarter earnings call. With me on the call today is Sven Lindblad, Founder and CEO. Sven will begin with some opening comments, and then I will follow with some details on the financial results and our current 2024 expectations before we open the call for Q&A. You can find our latest earnings release in the Investor Relations section of our website. Before we get started, let me remind everyone that the company's comments today may include forward-looking statements. Those expectations are subject to risks and uncertainties that may cause actual results and performance to be materially different from these expectations. The company cannot guarantee the accuracy of forecasts or estimates, and we undertake no obligation to update any such forward-looking statements. If you would like more information on the risks involved in forward-looking statements, please see the company's SEC filings. In addition, our comments may reference non-GAAP financial measures. A reconciliation of the most directly comparable GAAP financial measures and other associated disclosures are contained in the company's earnings release. And with that out of the way, let me please turn the call over to Sven. Sven?
Sven Lindblad: Thanks, Dyson, and thank you for stepping in and doing such a spectacular job as Interim CFO, while we consider our CFO search. Good morning, everyone, and thank you all for joining us today. Lindblad's strong second quarter results set the stage for another year of double-digit growth and record results for 2024. Dyson will provide additional color on our performance this past quarter, but before he does, let me take a few minutes to discuss some of the drivers of the continued growth this year, as well as the steps we are taking to sustain the momentum in the years ahead. First, I would like to emphasize how delighted we are with two new additions to our Board of Directors. Annette Reavis currently serves as Chief People Officer at CrossFit, she has served as a strategic partner for people and business operations and organizational design. Perhaps our most defining role was a decade at Meta, where she served as VP of Human Resources, playing an integral role in the company's growth from 1,400 to over 40,000 employees. Andy Stuart is a celebrated cruise industry Titan. He served as President and Chief Executive Officer, and held several other executive level positions over his 31-year tenure at Norwegian Cruise Line Holdings. These two additions to our Board add a significant diversity of key experiences, which will help tremendously in navigating the company's future. And I would like to thank Bernie Aronson for a significant wisdom and insight during his tenure on our Board. Now turning to our quarterly results. Bookings to date for future travel were up 17% versus the same period in 2023, and our in-year bookings expanded to 6% over the same point in 2023. It's important to note that 2023 benefited significantly from the carryover business from prior cancellations during the pandemic. If you remove those from the equation, in-year bookings would be up 29% in 2024 and cancellation rates have stabilized to historic levels. Second quarter occupancy increased from 74% in 2023 to 78%. And each percentage point increase on an annual basis depending on itinerary sold adds between $4 billion and $5 billion in additional EBITDA. So clearly as I've consistently said, the single biggest opportunity is to return as quickly as possible to our historic occupancies. At the same time we have stayed committed to price integrity which is fundamental to our business model. Many of our competitors continue to compete on price in pursuit of occupancy gains. This without doubt is a flawed unsustainable strategy. To reliably return to the occupancy levels we historically have enjoyed we are building back our past guest base. This customer cohort is the backbone for a segment of our itineraries those that are longer and more esoteric. We believe this strategy barring external influences will result in us achieving this goal for the full year in 2026. Speaking of external influences, they have had an impact in 2024 and will likely continue to impact future years. The ongoing Middle East conflict has had a significant effect on our Egypt program and we also canceled two long Mediterranean voyages as one of our ships had to be rerouted at short notice from transiting the Red Sea. Certain of our Galapagos voyages were affected by concerns about stability in mainland Ecuador, but this is largely stabilized as people realized that issue -- that the issue was very localized. Just as an aside I just spent 10 days in Ecuador in part meeting with the government including with President Nobuo. I was very impressed with his vision for the country and his commitment to the imperative of security. Recently a reality is that since I started this business there have always been periodic disruptions due to world events, some more dramatic than others. Our business model within reason takes this into consideration. One of the most significant developments for the company is our agreement with National Geographic and Disney to build and significantly grow the company through at least 2040. To be clear this agreement was only realized in November last year so we are still in the early stages. There are a number of initiatives I cannot speak to here at this time due to competitive reasons, however, there are several that I can. First of all, the rallying cry within the three organizations that have chosen to deeply collaborate Lindblad, National Geographic and Disney is the power of three. On the surface the key ingredients each brings is Lindblad expedition execution, National Geographic brand strength and Disney distribution. Aside from these critical components there is a lot more. Let's focus on primary benefits. We have spent dozens of hours together unearthing how and where we expand our reach with a goal of attracting new travelers. We have determined together to update our consumer brand and this will be launched by the end of September. The updated brand National Geographic Lindblad Expeditions leads with the power and name recognition of National Geographic. Our research and experimentation has demonstrated the power of this new brand increasing consumer intent, search efficiency and conversion. This is especially important as we begin to market internationally where the National Geographic brand has far more awareness today than the name Lindblad. We have begun to leverage Disney's ad buying power with our joint marketing fund and have just committed to a new domestic marketing campaign to support the launch of our new co-program. Featuring radio, connected TV, digital and print advertising, this campaign will reach our target households across the country. We are also working together to create a full suite of new co-branded advertising assets to appeal to a diverse audience of potential guests. Our first cross-selling campaigns to Disney affinity audiences were launched this year, reaching millions of consumers with strong Disney affinity and a love of travel. With our new ability to market together with the MG brand internationally, we are launching sales in Great Britain this quarter and planned further expansions into Europe later this year. We are also looking at a variety of new charter products that we believe will be uniquely successful under the new co-brand, including possible expansion of river cruising. So we believe that through committed and various testing and campaigns, we will be able to generate meaningful growth as a consequence of our lines beginning next year. A few words on inventory and its importance. First, we are working on new thematic content creation, which we hope to articulate soon, harnessing the creative forces within both National Geographic and Disney. A good example of this is our renewed focus on family travel. For those familiar with our current products, we know we have different ships designed for very different missions, operating in different geographies and attracting very different guests. Our voyages range from 4 days to 30 days in length. Certain itineraries are more suited to bring in new guests,. Galapagos, Alaska, for example. Some particularly esoteric Arctic largely across past guest examples includes places like Cape New Guinea and the Northwest Passage and somewhere there is a balance, Antarctica and Iceland, for example. We have always worked on calibrating inventory to have the right balance. For many years, we achieved this optimal balance, hence our 90 plus or minus percent occupancies. With COVID, we basically lost two years of adding to the funnel, basically 30,000 plus guests. Inventory is planned several years out, so a beautiful, essentially perfect formula was disrupted for a time. We have responded by increasing first-timer itineraries and culling those for past guests. Examples are increasing our presence in Iceland and reducing more of our esoteric Arctic itinerary. Another is our fly-in program to Antarctica, making it possible to have a shorter experience by flying from Chile to Antarctica to board our ships, which has opened up an entirely new market. We have also just signed an agreement to acquire two additional ships for Galapagos, critical for bringing in new guests, the National Geographic Gemini and the National Geographic Delfina with 48 and 16 passengers respectively. Galapagos is a closed market for ships with a defined number of licenses, so the overall market is not increased, but our inventory has by 45%. These two additional ships are expected to begin operation late Q1 next year, and the effects on accelerating first-time travelers by upwards of 3,000 people a year will be felt across the fleet over time. A few operational highlights. Our first 10 governing principles is to ensure that everything we do adds value to the guest experience. This is sacrosanct, and I'm very happy to be able to report to the guest satisfaction this quarter was the highest level since before the pandemic. Our new IT systems, while still being improved, have begun to streamline our internal processes and improve the guest experience. We believe there is more we can do on this front. For some months now, we have made a concerted effort to further improve efficiency, looking at the organizational structure broadly and how we can modernize, improve and eliminate unnecessary costs. Our Land Experience sector continues to perform and grow at exceptional levels. Revenue last quarter was $43.4 million, a 16% increase year-over-year. Natural Habitat, the largest of our Land subsidiaries has current bookings over 20% greater than at the same period in 2023. The very from the beginning that our kind of travelers are numerous in their interest and engage in a diverse set of experiences is absolutely proven to be true. The more people that travel with our Land companies are better as they provide best-in-class experiences and travelers stay in the family, so to speak. Think of what this diversity represents, Natural Habitat Adventures focused on land-based itineraries in natural remote places. Examples included enjoying polar bears in the high Arctic safaris in Africa; Ben Bressler, the Founder and CEO, and he also -- Ben Bressler is the Founder and CEO, and he also oversees all of our land companies. Nat Hab's mission is entirely consistent with our own conservation through exploration, protecting our planet by inspiring travelers, supporting local communities and boldly influencing the entire travel industry. Classic Journeys focus on cultural walking tour all over the world, think Italy, Spain, South America and beyond. It’s founders and leaders Edward and Susan Piegza are really driving and expanding this business and talk about the minimal capital, it's actually two feet at a time. DuVine offers luxury bike tours that offer immersive experience in some of the world's most scenic and culturally rich destinations. It's an exciting company really capitalizing on the growing interest in fitness and cycling. After that, the agnatic e-bikes, which massively grows the category well we have quite a growth story, which in DuVine case is largely fed by level of Italy and France. Founder and CEO, Andy Levine turned a personal interest, biking culture and line into a perfect enterprise, and we are thrilled to support his team and their growth. Off the Beaten Path was in the process of extending its strong presence in North American national parks to other lesser travel destinations globally. With third-party development of new and exciting hotels, lodges and the expansion of glamorous camping, OBP is in the right market. CEO, Cory Lawrence, ideally suited to lead this growth platform for us. Just last week, we closed the acquisition of our fifth land company, Thomson Safaris, which has been focusing on the spectacular country of Tanzania for over 40 years, and their operation will create synergies with natural habitats East African operation. The level of focus and expertise in one of Africa's most desirable countries for safari travelers unmatched and included in the transaction is a spectacular lands of Gibb's Farm, named East Africa’s best hotel by Condé Nast in 2023. Gibb's is a place with deep history and actually was my favorite launch back in the 1970s when I was living in East Africa and is consistently related as one of Africa's top ledges today. Each of our land companies is pursuing their stated mission with veteran [ph] aims to be a dominant force in their focus segments. We're excited to continue to expand by adding additional best-in-class companies to this valuable portfolio. Companies where we are mission-aligned and whereby joining our family, we can add value and propel meaningful growth. In summation, 2024 is shaping up nicely, and we remain optimistic about the future. Now, Dyson will delve deeply into the numbers.
Dyson Dryden: Thank you, Sven. Lindblad's strong year-on-year growth continued during the second quarter as we further ramped up ship operations with broader deployment of our expanded fleet and continue to grow our diversified portfolio of land businesses. As we deliver sustained year-on-year growth, we are taking the operational and strategic steps necessary to take full advantage of the earnings potential of the company. The investments we've made in additional capacity, diverse product offerings, technological capabilities, and overall infrastructure have positioned us to capitalize on the growing demand for experiential travel. Turning to the second quarter. Total revenue of $136.5 million increased $11.7 million or 9% versus the second quarter of 2023. Lindblad segment tour revenues were $93.1 million, which is an increase of $5.6 million or 6% compared to the second quarter a year ago. The increase was driven by a 4% increase in available guest nights, a 6% increase in net yield per available guest night to $1,094 and an increase in occupancy to 78%, up from 74%. As Sven noted, we canceled two voyages as we decided to transit around the Red Sea due to the conflict in the region. And our Egypt program was affected by the Middle East conflict. We also saw instability in Mainland Ecuador, which impacted Galapagos for a brief period of time. And experienced tour revenues were $43.4 million, which is an increase of $6.1 million or 16% compared to the second quarter a year ago, led by additional guests and higher pricing across Natural Habitats, trips to Africa, the Galapagos Islands, Europe, the Amazon, India and Alaska, defined cycling tours across Italy, France, Croatia, Turkey, and Spain, classic journeys cultural walking tours in places like Portugal and Iceland and off the beat and pass small guided group adventures to the U.S. National Parks. Second quarter adjusted EBITDA was $10.4 million and increased $4.2 million year-over-year, driven by a 3.9% increase in the Lindblad segment and a $300,000 increase in the Land Experience segment. Lindblad segment adjusted EBITDA of $6.5 million increased $3.9 million as compared to the same period in 2023 and primarily due to increased tour revenues, partially offset by higher general and administrative costs, which were related to increased personnel costs and increased royalties associated with the expanded National Geographic agreement. Land Experience segment adjusted EBITDA of $3.8 million increased $300,000 as I mentioned, as compared to the same period in 2023 as increased tour revenues were offset by increased operating and personnel costs, higher marketing spend to drive future growth, and credit card fees and commission expense. Looking a little closer at the cost side of the business, operating expenses before depreciation and amortization, interest taxes increased $7.5 million or 6.4% versus the second quarter of 2023, led by a $3.4 million or 13.3% increase in G&A expense, excluding stock-based comp and one-time items versus a year ago, primarily again due to higher personnel costs associated with the expanded operations as well as from increased credit card commissions related to final payments for upcoming itineraries and higher deposits on new reservations for future travel. Sales and marketing costs increased $3.1 million or 20.6% versus a year ago, primarily due to increased royalties associated with the expanded national geographic agreement and additional marketing spend to drive future bookings. Fuel costs were 4.2% of revenue in the second quarter of 2024, which is down compared with the second quarter a year ago. As a reminder, credit card commissions are paid upon cash receipt with the expense recognized today and with trip revenue not recognized until the gas travels. With higher bookings in the second quarter versus the same period a year ago, the expense impact is significantly higher on year with the revenue growth to be delivered in the periods ahead. While our expense base will grow in absolute terms, we do continue -- as we continue to expand the business, we also believe we have an opportunity to improve efficiency over time. Our recent investment in technology is an important enabler of this objective. We are now well positioned to identify ways to further improve existing processes and systems and thereby reduce certain costs. Turning to the balance sheet for a moment. Total cash was $217.7 million as of June 30, 2024, as compared to $187.3 million as of December 31, 2023. The increase primarily reflects a $63.2 million increase in cash from operations due primarily to increased bookings for future travel, which was partially offset by the $17.3 million cash used in the acquisition of additional ownership of Natural Habitat and DuVine, as well as the $3.9 million used for purchasing property equipment over the first half of the year. Lindblad now owns 90% of Natural Habitat and 75% of DuVine Cycling. Both businesses continue to outperform our original expectations. On July 31, 2024, we completed the acquisition of Wineland-Thomson Adventures, an Adventure Travel Group that primarily operates African Safaris. The acquisition purchase price was $30 million is financed through $24 million of cash and $6 million in Lindblad stock. We plan to close our previously announced purchase of the 2 purpose-built Galapagos expedition vessels in January of 2025. Importantly, we've already begun adding bookings for the National and Geographic Gemini and the National Geographic Delfina ships to effectively use the time period between signing and closing. On closing, the ships will undergo revitalization, after which they will begin operations late in the first quarter of 2025. We continue to explore additional growth opportunities in the year ahead and including diversifying our own product portfolio or opportunistically expanding our fleet to capitalize on the continued growth in demand for experiential travel. Turning to the full year 2024, we continue to anticipate significant growth driven by higher guest counts and increased net yields across the fleet, as well as additional travelers across our growing land businesses. Given the strong booking trends, we continue to expect total revenue in 2024 between $610 million and $630 million and adjusted EBITDA between $88 million and $98 million. The acquisition, Thompson Safaris is expected to have a minimal contribution this year due to certain planned investments in the business. However, it is expected to be a more meaningful contributor for the full year 2020. Please note that quarterly results for the remainder of this year will reflect the seasonality of our business, with the third quarter benefiting from more complete fleet usage and peak seasons across both our fleet and land businesses. Conversely, the fourth quarter will be impacted by less available guest nights to the heavy dry dock and transit time across our fleet, more shoulder season inventory and seasonality for our land businesses. Overall, we are pleased with the operating momentum across our businesses. Thank you for your interest, and now Sven and I would be happy to answer any questions that you may have.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Your first question comes from the line of Steven Wieczynski with Stifel. Your line is open.
Steven Wieczynski: Thanks, guys. Good morning. So Dyson, this is one is probably for you. I don't want to put you in the hot seat right away. But it's a guidance question, and you addressed a little bit of this in your prepared remarks, but I'm going to ask it a little bit differently. So if we think about the first half of this year, you guys you generated about $32 million in EBITDA. That is actually below the $35 million you generated in the first half of 2019. So -- my question is, to get to the low end of your EBITDA guidance for the year, you guys are going to generate about 50 -- mid-50s, $56 million in EBITDA in the second half of the year. That's well above what you did in the second half of 2019. And look, I fully understand there's a material change in capacity. But I guess the real question is what gives you guys such confidence with only five months left in the year that kind of getting that mid-50s EBITDA in the second half of the year is going to be possible. Thanks.
Dyson Dryden: Yeah, sure. Thanks, Steve. So let me just talk a little bit about our strong booking position. I think that's really going to be the key variable in the back half of the year. The Lindblad segment is a very strong booking segment for the year. So we've already booked 98% of -- we've already booked 98% of the Lindblad segment, full year projected ticket revenues for 2024. As you know, that last 2% does come at a very high margin. So filling the rest of the 2% is our focus. And if we do that, we should be able to get there where we want to be on for the full year guidance perspective. So we're confident at this point in time based on the trends and the cancellations really going back to historical levels that we're in a good position to reach the guidance. I think also importantly, the land business bookings are also very strong. The bookings just the Nat Hab which is our largest land segment, were up 20% year-over-year. So we remain confident in achieving the guidance.
Steven Wieczynski: Okay. Thanks for that Dyson. And then second question, Sven, for you. It's a bigger picture question, really around the Disney partnership. As you continue to work and collaborate with those guys, look, a big piece of this partnership was always going to be around the ability to drive load factors higher over time. And just want to ask how you feel about the partnership today and of the ability to drive that long-term occupancy is still in play? And then maybe when will we start to see some of the material benefits of this partnership? Thanks.
Sven Lindblad: Thanks, Steve, and I appreciate the question. So with any new partnership right? It's like you've got to kind of figure out how are you going to play together? How are you going to work together in the most productive way possible, right? So we've been working since 2004 with National Geographic, but National Geographic has not from being an independent organization to one owned by Fox to then migrating over to Disney. And Disney is kind of a good player from the perspective of our relationship. So the first thing we did was, this past April, we took a significant number of people from Disney, from national geographic and from our own organization, and we went to the Pacific and spent five days together, where we help build understanding about what we do in those different segments and had sort of working sessions every day for five day. Really exploring how we were going to build out this business together and how we're going to use each other's assets in a combined way to build what we call the Power of Three. And so when you think about what we all are individually and how you bring that together into some sort of a chemical mix, it's -- I believe it's an incredibly potent one. So NatGeo not only is brand, but also has tremendous content that can help with that in terms of photography, explorers, family idea, education. Disney is a massive, massive distribution entity, right? And we want to harness that and they want to harness it on behalf of our collective effort. And then obviously, we're in the execution business of making sure these expeditions happen. So I mean there is nobody in my view in the travel industry in the expedition space that has so much power behind it as a consequence of these partnerships. And so -- and everybody is really, really interacting in a very concerted way. They are constantly discussions going on about the next step and the next step and how can we advance the distribution. And so I think you're going to see in 2025, a lot of this begin to come to real fruition. Remember, we only signed a deal in November, and then you have to plan and then you have to -- Disney is a big organization and doesn't necessarily move as quickly as a smaller one like ourselves, but it is moving. And once it gets up to full steam, I think, it's going to -- I think it cannot help but have a significant effect on how we grow the business.
Steven Wieczynski: That's great color. Thanks, guys. Really appreciate it.
Dyson Dryden: Thanks, Steve.
Operator: Our next question comes from the line of Eric Wold with B. Riley Securities. Your line is open.
Eric Wold: Thank you. Good morning. A couple of questions. I guess, first question, kind of a follow-up on the last one around the expanded NatGeo-Disney relationship. Obviously, Sven maybe comment about the organizations like Disney, maybe built in a SaaS as you expected you went with a bunch of the teams in April, you were launching a new brand by September. If you take everything together, is everything kind of expected when you first made the announcement back in November, kind of, running on schedule ahead of plan, behind plan versus where you were? And can you make any maybe general comments about any bookings tailwind from the expectation in 2025, as you kind of previously expected you'd see?
Sven Lindblad: Yes. So first of all, I just want to clarify one thing I do not say -- I did not say they were moving slower than expected. I just meant that a big organization doesn't necessarily move as quickly as a smaller organization. I think they're moving faster than I would have expected, to be honest, given the fact that it is such a large organization. So one of the major things that are -- that's going to happen this fall is a real sort of coming out party, if you will, with the trade with their entire sales team, which is huge by comparison, maybe upwards of 10 times the size of our own or more that exposes products, their products and now our products as well as to the travel treat. I mean this is a massive, massive expansion of exposure in a critical area of business development. So that and advertising plans of direct mail campaigns and search. Now we used to National Geographic and ourselves, we used to compete for search terms, for example, because we had -- we worked together, but we also have different entities because there's different attribution as to how the business was sourced, all of that is no longer there. So we are collaborating on literally everything to drive the business. And so I can't quantify it in absolute terms, but it's hard for me to imagine that it isn't going to be a very, very powerful force going forward. And we will, I think, starting the next earnings call and the one after that. I think we will be in a position to be more specific as a consequence of having more sort of water under the bridge.
Dyson Dryden: I would just add that as you well know, we have about a nine-month booking window on average, that's been pretty consistent. And so as all this activity is ramping up, as Sven mentioned, the results really come in 2025, in large part just due to the timing of the booking window. So the activity is beginning to happen in earnest, and we expect the results to really start showing in 2025.
Eric Wold: Perfect. And then a follow-up question. On the two vessels you acquired or acquiring in Galapagos. You mentioned increase your inventory in the region by 45%. Any more comments in terms of United Nations you get from that potential annual revenue for the two ships. And then how does this -- a longer-term base, how does this impact digital pricing in the region by taking out two competitive ships? And what is the opportunity to leverage that customer list to kind of bring them to other expeditions outside of the region.
Dyson Dryden: Do you want to answer that?
Sven Lindblad: Sure, sure. So we're not in a position to update any guidance for 2025 at this point. But we did announce that they're going to come in the service at the end of the first quarter. And so when we put out guidance, we'll certainly show that contribution. We believe these are going to be really important as far as adding first-time guest inventory, and we underwrote a very conservative occupancy level for 2025 with the transaction, which we believe is going to be very accretive to shareholders financially and frankly, from a leverage perspective as well. So I think we'll just have to give you more guidance as we go forward on that. But this is largely a first-time guest product, which is very much aligned with our mission to add new first-time guests to the funnel and improve the overall occupancy levels for the organization. The 45% increase is just the fact that there's a fixed license business, which in the Galapagos, which I think most are aware of. And so that just means it's not like two new ships are coming into the Galapagos, because we took two ships from a competitor of ours and brought them into our fleet. Is that helpful?
Eric Wold: Yes. Thank you both.
Operator: Next question comes from the line of Alex Fuhrman with Craig-Hallum. Your line is open.
Alex Fuhrman: Hi, guys. Thanks very much for taking my question. It sounds like you guys are investing a lot more in the Galapagos now as a region with the new ships you have coming online. Can you talk about what your market share in that region is going to be when you have these new ships online giving the fixed supply in the region? And then I think in the past, you've talked about the Galapagos being a good region for you in terms of acquiring first-time passengers. Is that the case you expect to be able to acquire a lot of new customers as a result of your increased presence in that geography?
Sven Lindblad: Yeah. Well, so Galapagos is a place we've been involved with for a very, very long time. I mean, going back to my father's, first bringing people there in 1967. And so it's a place that we're very closely connected with and is very, very important to us. And so the opportunity to expand in a place that we have such a deep connection with them, and so the public equates us being connected with is for us a real, real opportunity. So now we will have a total of 206, I think it is beds in the Galapagos, which is -- which doesn't sound like a lot when you think of cruise ships, but it's -- there's only -- in terms of boats that are like 40, 50 passengers more, there are only about 600 beds total, I think, somewhere in that neighborhood in the Galapagos, including our own. So we represent a very, very sizable percentage of the market. And as a consequence to that, we can change our investment mentality in terms of promoting the area because obviously, we have a level of scale that is proportionately different, which is very, very helpful.
Alex Fuhrman: Okay.
Sven Lindblad: And yes, about new people, see Galapagos is an iconic place for people who are interested in nature, probably as an island group, more known than any other in the world and more aspirational than any other in the world from the perspective of natural history. And so it absolutely is a place where you can get people in the door for the first time, probably more easily than any place else on earth.
Alex Fuhrman: Great. That's really helpful. Thanks very much.
Operator: Next question comes from the line of Chris Woronka with Deutsche Bank. Your line is open.
Chris Woronka: Hey guys, morning. Thanks for all the details so far. Sven, I think you mentioned earlier that you might be looking to increase your activity in the river cruising space. And so the question is, did you have two new vessels coming for Galapagos. Would that require if you can decide to go down the river cruising path in a bigger way, would that require additional fleet? Or can you make that happen with your current fleet?
Sven Lindblad: Yeah. So anything that we envision doing on rivers, well, we do a lot on rivers already. On the Columbian Snake River, on the Amazon. So we already are deeply involved with rivers, and we know that people really like rivers, and in Egypt, obviously, as well. So we would envision, at least for the moment, to pursue rivers on a charter basis, not on building for rivers -- or not taking our ships into rivers, more than they currently do in the Columbian Snake River. So we own now 12 ships, and we charter eight ships, and those eight charter ships are also important because they fill different niches. Maybe certain places that are particularly seasonal, and we don't want to necessarily own something. We don't want to own something where you can only successfully operate it for three months a year, and be stuck with it for the other nine. So charter is really, for us, a great mechanism to expand our offerings, and in certain instances, to test areas that, after which we might decide we want to get more deeply involved. So we have, in the past, chartered ships to certain areas, and then eventually bought a ship, or built a ship, to accommodate that interest, but right now it's going to be primarily focused on charter work.
Dyson Dryden: And I'd just add that -- I just want to add one thing, which is, unlike the river product that Sven's mentioning, the Galapagos is a 52-week operational deployment, so that's the place where owning a ship makes a lot of sense. And I did find the statistic in my notes here. There are only nine ships in the Galapagos with over 40 passengers in existence. So it is a pretty limited market.
Chris Woronka: Yes. Understood. Thanks, both. I appreciate that. And then, obviously there's a lot of moving parts here. You guys, if I look at relative to 2019 or 2018, whatever the right year is, you've taken on more land-based businesses, you're growing the fleet now, you have the NatGeo and Disney partnership, and we've had inflation, of course. So the question is, as we look out to, maybe 2024 is not the right year, maybe it's 2025, 2026, the margin profile of the overall business, we just think about the EBITDA margin of 20% or so reached in 2019, is that -- is there a lot of upside in the out-years or is there are there structural limits? Just trying to get a sense of how to frame the two- to three-year potential, right?
Sven Lindblad: Yeah. Without giving specific guidance, we did mention that we're focused on cost and efficiency as well. We think a combination of returning to historical occupancies and also a focus on efficiency and cost there should be an opportunity there and that work is ongoing right now. But certainly, that Chris, to your point, that would be the goal. There should be significant operating leverage in the business. Some will depend on the ultimate mix of land versus marine because they do carry different margin profiles. But yes, your focus is similar to ours.
Chris Woronka: Okay. Great. Appreciate that. Thanks, guys.
Sven Lindblad: Thank you.
Operator: There are no further questions at this time. Mr. Dryden, I turn the call back over to you.
Dyson Dryden: Okay. Great. Thank you, Desiree. Thank you for everyone for joining our second quarter earnings call. I hope everyone has a wonderful day and give me questions, don't hesitate to reach for us directly.
Sven Lindblad: Thank you.
Operator: Ladies and gentlemen, this concludes today's conference call. You may now disconnect.